Operator: Good morning. My name is Michelle and I will be your conference operator today. At this time, I would like to welcome everyone to the UIL Holdings’ Full Year and Fourth Quarter 2012 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Ms. Susan Allen, you may begin your conference.
Susan Allen: Thank you, Michelle and good morning to everyone. Thank you for joining us to discuss UIL Holdings’ fourth quarter and full-year 2012 earnings results. I am Susan Allen, Vice President of Investor Relations. On the call with me today is Jim Torgerson, UIL’s President and Chief Executive Officer; and Rich Nicholas, UIL’s Executive Vice President and Chief Financial Officer. If you do not have a copy of our press release or a presentation for the call, they are on our website at www.uil.com. During today’s call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Significant factors that could cause results to differ from those anticipated are described in our earnings release and filings with the SEC. With that said, I will now turn the call over to Jim Torgerson.
James P. Torgerson: Thanks, Susan and good morning everybody. Let me start with some of the accomplishments we had in the 2012, and then we’ll get into the earnings. First-off for our gas conversions, we actually converted the 11,180 customers to gas heat; this was 9% ahead of our target of 10,200, and 35%, above the 2011 level. So we’re very pleased with the number of gas conversions that we got. We also continued executing on our ten-year capital spending plan. This is going to continue to drive our long-term earnings growth by adding to a rate base, for both electric, primarily electric distribution and then transmission, but somewhat for gas as well. We did receive regulatory approval for the 2013 revenue requirements for GenConn; again it was just above right on what we had requested. So again, a good accomplishment, and from the storms that hit in 2012, we received two awards from the EEI. The first was for mutual assistance during the June Derecho wind storm in the mid-Atlantic, where we helped, the second was for restoration, we performed during Superstorm Sandy in the fall. Now as far as our result, we actually had a very good results in spite of the warm winter; our earnings per share were up 3% for 2012, so we had net income of $103.6 million or $2.02 per diluted share, which was an increase of $0.07 a share over 2011. In our gas distribution earnings as we’ve talked about all year, we’re significantly affected by the warmer weather in 2012, and the reduce sales volume. We had a winter that was above little lower 20% warmer then normal, and overall we have the numbers that we’re going to go through and the statics so we’ll get to that in a few minutes. We did focused on our short-term cost controls that all the operating companies, which partially mitigated the weather impact on the consolidated earnings, so all companies were contributing cuts in their short-term O&M costs to make sure we got within the range. We did see increased earnings from GenConn and from our investments in the NEEWS project. For the fourth quarter, we had net income of $28.8 million or $0.56 per diluted share that was an increase of $0.14 per share. Again, we continued our focus on short-term cost controls during the quarter. We have some increase gas distribution earnings in the fourth quarter relative to the fourth quarter of 2011, but we’re still over 7% warmer than normal in the fourth quarter. We had lower outside services costs mainly because during the fourth quarter of 2011, we had some additional storm restoration costs that we expensed in 2011 after the October Nor’easter. Now a couple things I want to find out, the guidance that Rich is going to go on to this in some detail for 2013 is $2.05 to $2.25 a share. We know that consensus is somewhere around $2.29 a share. Keep in mind that the pension expense that we’re going to be incurring in 2013 is $0.13 a share higher than it was in 2012, and this is simply a result of large discount rate, now the accounting requires us to book the liability as of December 31, 2012 we did it today that number would be dramatically different, but it is affecting us by about $0.13 a share. The other thing, we have observed and we want to talk a little bit about this is our gas use per customer has been trending down, again we are not totally sure of the really warm winter had a impact on that, but we have some charts to show you what the impact of that has been. For 2012, we think it’s about $0.02 a share, but since rates went into effect in 2009, it’s about $0.09 a share, and we’re going to discuss what we are doing about that. Now the other thing I want to say, is our growth business prospects are still excellent, matter of fact I think they are better now than they were before because of the comprehensive energy strategy has been finalized, and all of the things that we wanted in there are still there, and we’ll talk about those in a minute. Now first-off, let’s go to the gas operations. This is one page five. You can see some of the sales the heating degree days, which were down dramatically 16.4%, warmer than normal for all of 2012, and so you can see that had a big impact on our volumes for the gas operations. On the next page, we put in some charts to show, what the sales volumes and the use per customer has been, and we saw fairly significant decline. It’s been declining a little bit, since the rates went into effect in 2009, but there was a dramatic decline in the year of 2012, and we calculated that it’s been about 1.5% annual decline, but in 2012 alone between the two Connecticut gas companies, it was down about 2.8%, on a weather normalized basis. Now we’re still investigating as to whether or not this was all just an impact of the weather. It may have been, because you can see, and this is a 12-month rolling average, you can see this up tick now in the use per customer in the second half of 2012. Once we got out of the winter then the rolling 12-months started to pick up, what we consider more normal weather, I think in the – well, only the normal weather in the summer, but in the spring and then starting into the fall. So we saw an uptick and we think maybe it’s coming back a little bit, but for our planning purposes, we’ve assumed that it’s going to be basically flat and not increased dramatically. So what we’re doing about that is we’re considering the regulatory actions, I think you all know, we filed a electric rate case. What we’re looking at for gas right now is request regulatory approvals to combine the two Connecticut gas companies Connecticut Natural Gas and Southern Connecticut Gas, we’ll be filing that and at the same time, we’ll be asking for a decoupling mechanism that is in the final comprehensive energy strategy for Connecticut. What we’d be asking for though would be a revenue decoupling that would preserve the growth aspects we’re seeing, so we probably set it up on a use per customer aspect, that would allow us to retain any growth that we see or all the growth that we’re going to see as a result of adding new customers. And this would be consistent, what the comprehensive energy strategy is advocating. But we’ll be dealing with this during 2013, as we want to make sure by the end of 2013 and into the winter of 2014 that we have this taken care of. And we also may end up just filing a gas rate case depending on how this is received with the merger application, and then request for decoupling. The strategic growth initiative for converting household again that is on going, the comprehensive energy strategy does provide incentives, and I’ll talk to that in a few minutes. And on page eight, we look at the gas conversions, we do convert 11,180 customers in ’12. Our target for the 2011 to 2013 was to convert 30,000 to 35,000 households in businesses to gas heating. So we are well on our way to that target, for 2014 target is going to convert 25% more than 2013. Hence our target for the three years for ’14 to ’16 is to convert 55,000 customers, and again the comprehensive energy strategy is providing the incentives to help along with that. Many of you asked, what is the income results for the gas conversion, then we have been saying all along is $280, $315 per customer on average, and this is based on anticipating conversion, while there is low use online or offline customers. While the average approximate annual usage for customer is 90,000 to 125,000 cubic feet. The current price per cubic foot per 1,000 cubic foot is $4.75, and then we also get a basic charge of $14 per month. Those are then offset by the growth earnings tax, O&M property tax, depreciation and state federal taxes to come down their net income number. So when we say it’s the $208 to $315 of income, the net income we derive that’s how we are getting there. On the next page I want to talk about the comprehensive energy strategy, so on February 19, Governor Malloy, he issued the final comprehensive energy strategy. The document does provide the foundation or policy in regulatory legislative decision. It covers all fuels and all sectors, and it has a planning horizon that goes up quite a long way. So there’s five major priority areas; as energy efficiency, electric supply, and that includes renewal power, which we’re talking about increasing the renewal standard, industrial energy needs, transportation and obviously natural gas. It includes goals of making natural gas, which is the lower cost option to oil, available to more than 250,000 additional residential customers, and up to 75% of the businesses in Connecticut over the next seven years. That’d be a total of about 300,000 customers that could potentially convert to natural gas. And it does provide some very effective tools for customers, now some of those tools; one is to change the way we look at this from we currently have a 20-year net percent value analysis for each customer extend that to 25 years. We look at on-bill financing for not only the equipment, but also for any contribution related to construction that a customer might have to pay. In the Governor’s budget he purposed $500 tax credit for anyone who converts to natural gas, and that has a limited time, it looks like it’s over the year 2013, that would have to be approved by the legislature. There’s some alternative rate riders that are being suggested such as the new customer rates, which are going to be passed along to the Public Utilities Regulatory Authority that will have to review, and will have probably some hearings on that. But these are things that are strongly suggested as policy in the comprehensive energy strategy. Also capital recovery outside of rate case is being proposed and off-system and interruptible sales by gas, currently 99% of those go back to customers. We would then be able to use a portion of that again, we’re working with PURA, to fall some of those back to the utilities to offset the expansion of many. So there are a number of tools which many of which we have suggested and now being incorporated into the final comprehensive energy strategy. As far as our state regulatory update, the United Illuminating filed with PURA on February 15 this rate case, and it’s really to recover past and future capital investments that are going to enough there to meet the needs of our customers. Now we also need a more competitive return on equity. I think all of you are aware that our return on equity is at $8.75, we requested ROE of $10.25, and this was a 50-50 capital structure, debt and equity. The request was for $69 million in year one, that would be the period whenever rates are the term in which probably, it’s sometime in July through August timeframe, it’s usually a six month period, so that would could take it. It’s legislatively five months, but they can always request another 30 days. So it’s going to be somewhere in the July to August timeframe. But nevertheless that would be whenever the rate decision is made, and then $26 million in the second rig. What we have also requested is that we defer billing customers until January of 2014, when the current competitive transition assessment or CTA goes away, that’s about $0.015 on the bills, so we believe that actually customers will see a decrease in rates on January of 2014 even with the rate increase for requesting, so the net-net for them it will be a decrease. We are also requesting continuation of our decoupling mechanism at the electric company, recovery of the storm costs. Now we’ve incurred, we have deferred $52 million of storm costs, it goes back we had about $10 million in storm costs, even before Irene and we had a storm from Irene, from Nor’easter, then we had Hurricane Sandy. So all of those add up that we requested recovery of that over a six year time horizon. We also continue the earnings sharing mechanism, but we did request that if there are any earnings in excess of our allowed returns and we share with customers as those go to reduce the amount of the strong regulatory assets. So as I said we’re expecting a final decision sometime in the fourth quarter of ‘13. To continue on PURA did approve the 2013 revenue requirements for GenConn of $33 million, for GenConn Devon and $40.2 million for Middletown. They opened a docket in November to investigate the performance in which our services after Superstorm Sandy. As you know, the legislature requires that if a storm impacts customers to the extent, more than 10% of our customers are out for 48 hours or longer, they have to then investigate. But the hearings is scheduled for May. I think the consensus is to end. My firm belief is that we did an excellent job in restoring customers evidenced by the award we got from EEI. So I really don’t see any issues that will come out of this, probably some best practices that we could all share, which would be normal, and we’ve already gone through on our afteraction review, but the final decision is expected in the third quarter of ‘13. The renewable connection program, this is to build some renewable energy is still, the docket has been reopened by PURA back in September. So far, there’s no time schedule that’s been issued for that. In Massachusetts, again, last year they mandated rate case every five years for electric companies, and ten years for gas. Purchased ten-year rate plan expired on January 31, 2012, and then right now the rates just remained in place, and until we do anything differently. If the FERC ROE Complaint, the 206 Complaints filed against our base ROE transmission rate of $11.14, FERC has set the matter for hearing January for trial staff, file a testimony supporting the 9.66% ROE, then respondents filed their reply testimony in February, so the process is ongoing. We expect that the Administrative Law Judges decision will occur later this year, and then the final decision by the FERC will occur in 2014. Now from our service territory economic update, we’re tracking the unemployment is a little bit ahead of the national average, we are looking at about 8.6% in Connecticut versus 7.8% at the end of the year, and it went up to 7.9% in January. And our largest service territory, the cities of Bridgeport, New Haven and Hartford there all in double digits as far as the unemployment rates. Labor markets are probably more inline with the national averages around those uncertainties. So, I’ll turn it over to Rich, and he can talk a little bit in the details about the financial results.
Richard J. Nicholas: Thank you Jim, good morning everyone, thanks for joining us today. On slides 15 through 19, we will go over the details by major segments of the results for the fourth quarter and the full-year. As Jim mentioned for the full-year, our consolidated net income was up, almost $4 million and for the fourth quarter our consolidated net income up over $7.5 million for that period. Looking at the details on slide 16, within the electric distribution segment, which also includes the competitive transaction assessment our earnings on GenConn, very strong increase year-over-year, but primarily as a result of the focus on reducing our O&M expenses, mitigating the effects of the warm weather, but from the gas business. In addition, we are seeing the benefit now of our central facility strategy, where we have gotten our leased space, and moved into our own space, and so rent expense did go down both year-over-year, and fourth quarter over fourth quarter. You would also seen our uncollectibles come down, again the benefit of our strategy to deploy smart meters where appropriate, and which allows for remote disconnect and reconnect, and so we have seen a benefit directly to the bottom line as a result of that investment strategy. In 2012, we have the full year of all eight GenConn units in the mix resulting in an increase of $4 million in pretax earnings on a year-over-year basis. Then as we have discussed on the third quarter call, we did receive a settlement from an old power procurement incentive dockets that resulted in the increase of about $2.7 million pretax or $0.03 a share. Moving to slide 17, and the quarter-over-quarter results very similar types of things again the reduced O&M expense, that Jim have mentioned the additional spending, we have done in the fourth quarter of ’11, that really stabilize the system after the storms last year and additional maintenance work, additional inspection work to make sure we are in good shape coming out of the events of last year. As a result and we look at the rolling 12 months distribution plus CTA return on equity for the year, came in at 10.34%. Now as we look forward though the growth in rate base, we’ll begin to bring that rate of return down fairly rapidly and one of the reasons that we needed to file the electric distribution rate case. In the Transmission segment of our business, Electric Transmission continued growth in rate base year-over-year, driving up earnings, an increase of $700,000 year-over-year, and $500,000 in the quarter-over-quarter, also saying the benefit of our continued investment in the NEEWS transmission project, and with the formula rates, our transmission rate of return for the full year was 12.3% on a weighted average basis. Moving to slide 18, the gas portion of our business, the warm weather that we’ve talked all year certainly had a negative impact, and full-year earnings decreased $11.6 million year-over-year. We also saw some increases in O&M expenses while we did look to control short-term as a result, now fully integrating the gas companies, we are seeing some corporate cost increases there, but part of the benefit of that is UI the electric distribution and transmission side will actually see lower allocated costs. Also in 2011, we had a settlement of the 2009 rate cases that had resulted in a one-time $2.2 million pre-tax benefit that obviously was not there in 2012. And so we do look at the major drivers on gross margin on the bottom of slide 18, you could see year-over-year, the weather was the most significant driver there, the phenomena that Jim discussed in terms of the decline in net use per customer absent of weather, also was about $0.02 drag on the gross margin, but that was offset by growth that the incremental growth that we’ve seen from the conversions, but overall gross margin contributed to a negative $0.09 a share year-over-year. Moving to slide 19, looking at quarter-over-quarter, an increase on the gas distribution business of about $200,000 of earnings, it was colder than 2011, but actually warmer than normal, so that phenomena continued into the fourth quarter. And also in 2011, we had booked $3.5 million pretax for weather insurance, which was not in the fourth quarter of 2012. As a result of that drag on earnings, from weather use per customer, we did see the average return on equity for the Connecticut companies down in the 5% range, excluding weather better up in the 6%, 7% range. But the strategies that Jim mapped out earlier will address this going forward in terms of the regulatory proceedings. At UIL corporate, which is where we maintain the interest of costs on a holding company debt as well as now with the acquisition we’ve begun to deploy certain information systems that benefit all subsidiaries, and those cost are held at the holding company, and then charged out to the individual entities. And so while you will see some costs going to the individual subsidiaries, there was a benefit from that corporate level. Moving to slide 20, as we look at our financing needs going forward, very manageable debt maturities over the next several years, just little over $40 million in 2013, at the gas companies, and no major UI electric debt refinancings coming due on modest $28 million there in 2015, and as you can see at year-end 2012, we had over $328 million of available liquidity on our credit facilities. As we look out at the impacts coming from the comprehensive energy strategy, the various regulatory proceedings, market conditions, pension funding, bonus appreciation, we continue to evaluate on an ongoing basis, the need and timing for additional external equity, which still in our capital program, we’re willing to do at some point. Now looking forward on slide 21, moving to our earnings guidance, $2.05 to $2.25 on a consolidated basis as compared to the 202 reported for 2012. So the major drivers on a consolidated level, the guidance is based on normal weather coming in 2013, which would actually compared to 2012 add-back about $0.14 per share net of insurance. Jim mentioned the pension expense earlier our discount rate is used for determining the accounting expense, are dropped by about 100 basis points year-over-year, that actually increased our liability to projected benefit obligation by about $100 million, and a result of that is the $0.12 to $0.13 impact on 2013 looking forward. Now to the extent, the interest rates move back up, and at some point this year, the next year we would see some of that reverse, but it is the impact that we’re seeing now in 2013. Now the continuation of our gas growth strategy would add about $0.10 per share in 2013 versus 2012, then in the final year of the competitive transition assessment rate base that would generate about $0.03 a share lower than what was generated in 2012. Getting to a little more detail on the guidance as a lot of moving pieces this year on slide 22. Some of the underlying assumptions on the segments, as we look forward to rate case and the decision sometime early in the third quarter, we would expect that in the second half of the year, we would be earning whatever that return comes out of that proceedings, but the rate base is growing as we continue our infrastructure replacement program as well as some system hardening initiatives coming out of the storms over the last couple of years, as mentioned the pension expense, is up in total and for the electric distribution segment, it’s about $0.05 a share, and that’s due to a lower discount rate. And I would note that on a prior page, I did say higher discount rate that was a typo, it should be lower as I said, it’s down almost 100 basis points. I mentioned the corporate charges that we are now deploying software at the corporate level and charging that out to the individual subsidiary, so when looking at the standalone subs, you will see a drag there about $0.06 a share, electric distribution, but it is offset in corporate. Moving on to electric transmission looking forward we’re projecting or assuming in the guidance that we are earning a lot of returns, and that there will not be any impact in 2013, from any FERC actions, the final FERC decision looks it’s targeted for 2014. We are continuing to grow the transmission rate base as well as increasing our investment in NEEWS. Slide 23, guidance assumptions around the gas distribution, additional conversions there would add about $0.10 a share looking forward to some normal weather in 2013. The component fees of the pension post retirement is about $0.07 a share on the gas companies in similar the corporate charges we’re deploying shared information systems primarily deploying SAP enterprise wide, is about $0.05 a share. Jim mentioned the underlying assumptions are flat usage per customer although we have seen the trend downward it did turn up a little bit at the end of 2012. Then in the final corporate segment there, again you see the offset there the income from charging the primarily software systems out to the operating companies. So, at this time I will hand it back to our operator, Michelle for the Q&A session.
Operator: (Operator Instructions) Our first question comes from Andrew Smith with Drexel Hamilton. Your line is live.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Thanks, good morning guys.
James P. Torgerson: Hi, Andy.
Richard J. Nicholas: Good morning.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Good, I got a couple questions for you. Thanks for all the detail on the guidance and everything. Rich, I think I heard, did you say that you assume second half of this year once you get other rate case resolution that the guidance reflects you earning whatever ROE is ultimately approved in the case. Should I infer from that as you guys have made some assumption about where you think that comes out, and that’s what underpins your guidance.
Richard J. Nicholas: Yeah, that’s why we have a range and the range will accommodate of variety of outcomes there.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay, very good. And then just following on that, you guys are asking to retain the 2010 and 2012 earnings sharing as well as the excess CTA to basically offset any rate impact the customers in the second half the year. How does that flow into earnings, do you guys sort of just ratably bring that in? Do you bring it in as you look at your ROE monthly, quarterly, how does that actually impact the results in the second half of the year.
Richard J. Nicholas: Yeah it would be ratably Andy, is if that the rates had going into affect we make the accounting entries, and then when the actual rates go up little offset in 2014.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay.
James P. Torgerson: The easiest way to look at it is, we are going to have few things offsetting one of that increases, but we put things as a regulatory asset whatever we would have collected from customers if is in that, and then just start collecting and starting in 2014, so to avoid having the customers pay a higher bill for half a year, and then have a go down in 2014 just in kind of all together January.
Andrew Smith – Drexel Hamilton Investment Partners LLC: But the earnings would be as if the rate have gone it…
James P. Torgerson: Right exactly.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay, got you that’s helpful, and then you guys mentioned in your regulatory filing that you guys would disclose the amount of the 2012 earnings share, which was to be determined as of the filing, but I didn’t see that in and you said, you disclosed it in the K, I didn’t see that in the K, or did I miss that.
Richard J. Nicholas: Now we just filed the information with the commission, with PURA yesterday.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay.
Richard J. Nicholas: And I’m looking as we’re talking I’ll find it, and get back with that amount.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay. I appreciate that, and then just one last question, switching over to the gas business, it looks like you’re actually considering some regulatory work there to address combination decoupling, and then potentially rate relief, what was unclear to me from your comments, it sounded, what’s the sort of the fiscal process here, you said it on one of your comments that they would be separate approaches to get the combination that decoupling, and then rate case, but in some of your bullet points implied the decoupling would be part of rate case, am I misunderstanding that?
Richard J. Nicholas: No Andy what we’re thinking of doing or what we’re planing on doing right now is filing to merge the two entities in Connecticut, and as part of that request decoupling.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay.
James P. Torgerson: And I’m anticipating that they’re going to want to see the range, and we’ll just end up filing a full rate case. Now, if we can end up, just getting the merger and then get decoupling, because it’s been put through in the comprehensive energy strategy without filing a rate case, we think that would put us in the right position, because you talked most charts, how much I use per customers gone down, and that was really impacting the gas business negatively. Now we got the growth and we don’t want to lose that, so we want to make sure that whatever decoupling we get, allows us to retain the growth in the income off of that. And then decouple basically existing customers where you’d do it on a use per customer for all customer basis. So it’s really a two-step process, and look and see how the commission reacts to the merger filings, and then with the decoupling, and see if they will approve that, but we made very well in filing a rate case. And if we do, we’ll file it in time to have rates in effect for the end of the year.
Andrew Smith – Drexel Hamilton Investment Partners LLC: So we should expect the filing with the merger and the decoupling, and then basis of the process will be as commission either approves or they would come back and basically ask you for rate schedule, rate filing, that would basically result in full-blown rate case?
James P. Torgerson: That’s pretty much it. Okay.
Richard J. Nicholas: Andy, it’s Rich. Your question on the sharing, $10.4 million for 2012, $10.4 million.
Andrew Smith – Drexel Hamilton Investment Partners LLC: Okay, perfect. Thanks for that number guys.
Operator: Our next question comes from Ashar Khan with Visium. Your line is live.
Ashar Khan – Visium Asset Management LP: Could you tell us what would the variance fee for our 100 basis point difference on the rate case decision on the earnings?
James P. Torgerson: For the UI electric?
Ashar Khan – Visium Asset Management LP: And the rate case that you’ve filed for decision.
James P. Torgerson: We asked for $10.25, 100 basis points is probably around what $6 million-ish pretax.
Richard J. Nicholas: Yeah, about 4 million aftertax.
James P. Torgerson: 4 million after-tax, it’s about, so…
Ashar Khan – Visium Asset Management LP: Okay. Thank you.
James P. Torgerson: Sure.
Operator: Our next question comes from Noah Hauser with Decade Capital. Your line is live.
Noah P. Hauser – Decade Capital Management LLC: All right, thanks guys. I just want to follow-up I guess on the comments around equity and is there a sense from a timing standpoint kind of what pushes you to doing it, this year or be able to deferred in the next year, can you just elaborate a little bit on that?
Richard J. Nicholas: Sure, this is Rich. We’ve got several moving pieces in front of us right now of the electric distribution case where we have proposed a certain level of capital spending, and recovery, and some receivable comes out of that. We do have this pending renewable connections proposal that could be an incremental $40 million to $50 million CapEx that’s not in our current plans, and we continue to look at pension funding as we say, in the K, we’ve got about $50 million plus or minus of pension funding this year, although on the other hand, one of the surprises in the fiscal cliff negotiations was 50% bonus appreciation coming in. And so we’re looking at all of those things, we’re looking at the market as we should do our due diligence. And so while we haven’t picked a time, we do want to be flexible in responses, and if the need is there, and the opportunity is right then we would look to go-to-market.
Noah P. Hauser – Decade Capital Management LLC: Can you guys tell me, what the benefit from the extensions of bonus depreciation was in ‘13?
Richard J. Nicholas: The total benefit is $55 million to $60 million to us, but we do have the operating loss carryforward for tax basis from 2012. So we likely wouldn’t be able to utilize all of that in 2013, and back we might be only able to utilize about 15%, 20% of it, and the rest would carry over into ‘14.
Noah P. Hauser – Decade Capital Management LLC: Okay. And then can you provide us with like a rule of thumb as far as sensitivity to usage in the gas business. So it’s like 50 or 100 basis points?
Richard J. Nicholas: I’m not sure, I understand with expanding, it’s the increase or decrease in the use per customer?
Noah P. Hauser – Decade Capital Management LLC: Yeah. So just in light of my guess to your assumption is that, it’s going to be effectively flat, I think in ‘13?
James P. Torgerson: Right.
Noah P. Hauser – Decade Capital Management LLC: So things were to trend better or worse, by 50 basis points, can you give us a rule of thumb for what that would mean on an aftertax basis?
James P. Torgerson: I think I don’t have it at the tip of my fingers here. We’ll get some back to you on that. It’s math at that point.
Noah P. Hauser – Decade Capital Management LLC: Okay, cool. And then finally around the pension, I guess with the gas businesses, is there some way for you guys to recover the increased expense outside of the GRC. And if so as far as like when the timing of this could happen when that could be?
James P. Torgerson: I don’t know see it will get outside of the rate case. On the other hand, if we get the use per customer adjusted, and with the growth we’re seeing, I think we’re going to offset that. But if interest rates stay where they’re at or even go a little bit higher, that would mitigate some of that in 2014. So we’re stuck with that for 2013 right now. This is because of where the accounting rules were.
Noah P. Hauser – Decade Capital Management LLC: Yeah.
James P. Torgerson: But we get the file a general rate case to recover.
Noah P. Hauser – Decade Capital Management LLC: Okay. And so the determination to be made like by mid-year on what therefore, if you are going to file a full blown GRC with the gasoline business?
James P. Torgerson: Yeah, it have to be, because we wanted to get it in place, by let’s say December, January, we file by June, July at the latest.
Noah P. Hauser – Decade Capital Management LLC: Okay. All right, cool thank you I appreciate it.
James P. Torgerson: You’re welcome.
Operator: Our next question comes from Caroline Bone with Deutsche Bank. Your line is live.
Caroline V. Bone – Deutsche Bank Securities, Inc.: Good morning.
James P. Torgerson: Good morning.
Caroline V. Bone – Deutsche Bank Securities, Inc.: I was just wondering, could you go over you rationale for assuming residential usage per customer of 90 to 125 Mcf per year in calculating your anticipated net income benefits some customer conversions, when current usage is actually closer to the low end of that range at SCG and CNG.
James P. Torgerson: Okay, the residential customers is in the 90 to 125, 90 it would be for the low use customers that our currently very low use there on their use, our customers now, and they would be converting, but a lot of those, they would just converting to heat, when you look at the overall the 93 or so, that does include multi-family, and which would bring it down a little bit, because the multi-family units are smaller, so on the average when you look at all of the residential then you get a little lower number, but for the new, the single family residential is higher.
Caroline V. Bone – Deutsche Bank Securities, Inc.: The single family would be more in that 125 range.
James P. Torgerson: Yeah. There would be a little higher yes.
Caroline V. Bone – Deutsche Bank Securities, Inc.: Okay got it, and then also when you guys are now allocating these corporate charges to the utilities in 2013, are these charges that, are going to be eligible for recovery in rates, I assume not, but I just want to check.
Richard J. Nicholas: Oh no…
James P. Torgerson: They will be…
Caroline V. Bone – Deutsche Bank Securities, Inc.: They will be, okay
James P. Torgerson: Yeah.
Caroline V. Bone – Deutsche Bank Securities, Inc.: Okay. Thanks very much.
James P. Torgerson: Yeah, they will be
Operator: I have no further questions in queue at this time.
James P. Torgerson: Okay. Well, thank you all for participating, if you do have further questions please don’t hesitate to give us a call, and thanks for participating today.